Operator: Welcome to the U.S. Auto Parts Second Quarter 2016 Conference Call. On the call from the company are Shane Evangelist, Chief Executive Officer; and Neil Watanabe, Chief Financial Officer. By now, everyone should have access to the second quarter 2016 earnings release, which went out today at approximately 4:00 PM Eastern Time. If you have not received your release, it is available on the Investor Relations portion of the U.S. Auto Parts' website, at usautoparts.net by clicking on the U.S. Auto Parts' Investor Relations tab. This call is being webcast, and a replay will be available on the company's website through August 22, 2016. Before we begin, we would like to remind everyone that the prepared remarks contain certain forward-looking statements within the meaning of the federal securities laws, and management may make additional forward-looking statements in response to your questions. The forward-looking statements include but are not limited to statements regarding future events, our future operating and financial results, financial expectations, expected growth and strategies, key operating metrics, and current business indicators, capital needs and deployment, liquidity, product offerings, customers and suppliers, and competition. The forward-looking statements are based on current information and expectations are subject to uncertainties and changes in circumstances and do not constitute guaranties of future performance. The forward-looking statements involve a number of factors that could cause actual results to differ materially from those statements. We refer all of you to the Risk Factors contained in U.S. Auto Parts' Annual Report on Form 10-K and Quarterly Reports on Form 10-Q filed with the Securities and Exchange Commission for a detailed discussion on the factors that can cause actual results to differ materially from those projected in any forward-looking statement. U.S. Auto Parts assumes no obligation to nor does it intend to update or revise any forward-looking projections that may be made in today's release or call, or to update or revise the reasons actual results could differ materially from those anticipated in these forward-looking statements, even if new information becomes available in the future. Please note that on today's call, in addition to discussing GAAP financial results and the outlook for the company, following non-GAAP financial measures will be discussed: EBITDA and adjusted EBITDA, an explanation of U.S. Auto Parts' use of these non-GAAP financial measures in this call, and the reconciliation between GAAP and non-GAAP measures required by the SEC Regulation G is included in U.S. Auto Parts' press release today, which again can be found on the Investor Relations section of the company's website. The non-GAAP information is not a substitute for any performance measure derived in accordance with GAAP and those with such non-GAAP measures have limitations, which are detailed in the company's press release. Please also note that percentage and basis points discussed are calculated using net sales with the exception of advertising, which we will be discussing and comparing to net online sales. Unless otherwise stated, all financial data reported including but not limited to revenue, gross margin, operating expense, and net income loss, excludes our AutoMD reporting segment. We have included a chart of summarized and segment information in our press release detailing the base U.S. Auto Parts, AutoMD, and consolidated financials to provide the components of our business. Additionally, when we reference net debt, we define it as cash and cash equivalents less revolver debt excluding AutoMD. With that, I would now like to turn the call over to Neil Watanabe.
Neil Watanabe: Thank you, operator. Good afternoon everyone, and thank you for joining us to discuss our second quarter results. I would like to provide a summary on the financial results reported in the press release today, and then I'll touch on some of the key business metrics and initiatives we're focused on to drive improved profitability. I'd also like to remind listeners that all metrics discussed exclude AutoMD unless specifically noted. We have been communicating over the last several quarters, our focus on profitability as well as our strategy to increase our private label penetration, increase margin dollars, manage expenses, and reduce our debt. We believe this quarter results continue to reflect this strategy. We continue to be excited about our strategy to improve profitability in the business and prioritize profits over low margin revenue growth. As a result, in Q2, we have again seen an increase in gross margins increasing 320 basis points to over 30% our adjusted EBITDA increased 129% to $4 million. Moving to revenues, net sales for the quarter of 2016 increased 2% to $78 million compared to $76.4 million last year which was in line with our guidance of low-to-mid-single-digit revenue growth. Online sales were up 3% primarily driven by strong growth in our online marketplace sales which increased 16%. Ecommerce sales were essentially flat at $49.7 million. Traffic was up 3% but offset by 3% decrease in average order value which was expected given our continued focus on shifting sales to higher margin private label products. Offline sales were also slightly down to $6.6 million compared to $7 million as a result of pricing changes to improve the overall profitability of the channel. Taking a look at our sales by product category, led by an expected single-digit decrease in our branded business. The branded business decline is a result of our strategy to maintain minimum margin targets and maximize profitability. As such, we continue to expect an increase in the revenue mix favoring higher margin private label products. For the second quarter of 2016, gross margins increased 320 basis points to 30.4% compared to the year ago period. The significant improvement was largely due to our higher mix of private label sales which was 65% of net sales this quarter compared to 60% in the year ago quarter. We also realized freight and warehouse supply savings from our new warehouse management system which is significantly more efficient at consolidating packages for multiple unit orders than our old system. Total OpEx was $22.1 million compared to $21.2 million in the year ago quarter. As a percentage of revenues, OpEx was 28.4% compared to 27.8%. The slight increase was primarily driven by additional labor hours required to support our increasing private label shipments, order shipment consolidation initiatives, as well as increase in non-cash share-based compensation. Net income for the quarter came in at $1.2 million a substantial increase from the $610,000 loss in the year ago quarter. The improvement was driven by our profitability initiatives. Adjusted EBITDA for the second quarter of $4 million excludes non-cash share-based compensation expense of $784,000 this quarter and $574,000 in last year's quarter. As a percentage of revenue, adjusted EBITDA increased 290 basis points to 5.2%. Now let me provide some details on our sales metrics for the second quarter. Unique visitors to our ecommerce site were 30.2 million, up 3% from last year. Orders placed through our ecommerce channel increased 4% to 554,000 with an average order value of $109 from the $112 we posted in the year ago period. Our conversion rate this quarter was flat at 1.8%. Revenue capture defined as the amount of actual dollars retained after taking returns, credit card declines, and product fulfillment into consideration was 84% of gross sales compared to 85.7%. The decrease was driven by data conversion issues but is bounced bank closer to normal run rates. For the second quarter, customer acquisition costs came in at $7.54 compared to $7.91 last year and $7.73 in Q1 of 2016. The improvement in our customer acquisition cost was driven by continued optimization of marketing spend at a variable contribution margin breakeven level, which we believe provides the highest ROI spend. Turning to balance sheet, we are pleased to announce that we ended the quarter with no revolver debt and $2.1 million in cash. The balance sheet improvements are the result of our continued focus on inventory productivity, increased cash from operations, and extended payment terms negotiated with our vendors resulting from our improved operating performance and utilization of LCs for selected import vendors. We ended the quarter with inventory of $44.4 million compared to $45.2 million for the prior year. With our fourth consecutive quarter of improved profitability, and increased cash from operations, we remain laser focused on continued execution and refinement of our profit enhancement strategies during our back half of 2016 and beyond. With that, I'll turn the call over to Shane.
Shane Evangelist: Thank you, Neil. We were again pleased with the quarter's performance and I want to thank the team members of U.S. Auto Parts for their commitment and hard work to improve the business. With our second quarter adjusted EBITDA results, we now have a trailing 12-month adjusted EBITDA of $13.8 million, up from $11.5 million last quarter, and up 92% from the $7.2 million this time last year. Additionally, while our trailing 12-months adjusted EBITDA has grown, our trailing 12-months CapEx has remained constant at $6 million. With the continued improvement in the financial results, our revolver debt has been eliminated and we have $2 million in cash. Last year at this time, our revolver debt was at $8 million with $1 million in cash, which amounts to a $9 million improvement in net debt to cash over the last 12 months. Besides our free cash flow from operations being used to reduce debt, we continue to demonstrate strong expense management and have built confidence with our vendor community. This has translated into improved payable terms, further contributing to the elimination of debt. We believe these factors will continue to drive our improved cash position as we go forward. Over the last 24 months, we have significantly increased our private label offerings, reduce our dependency on organic search, almost doubled our trailing 12-month adjusted EBITDA, and completely eliminated our revolver debt. We also believe we are well positioned to take advantage of several industry tailwinds. Online auto parts purchases are anticipated to grow over 50% annually according to 2016 Digital Auto Care fact book. In addition, we continue to see miles driven and the average age of vehicles increase with gas prices remaining at relatively low levels. Neil already spoke in detail on the quarter's results; I will focus on our highest priority which is the continued growth in private label. The quarter grew at 9% which was below our traditional double-digit growth. However, this was against only 1% increase in private label inventory. We have increased inventory and have seen a return to traditional double-digit growth rates for our PL business and anticipate this to continue going forward. Our private label products ensure us to be one of the lowest cost providers in the marketplace which appeals for a very large demographic of customers who want value oriented options to repair their vehicles. The growth of this business is critical, as the incremental adjusted EBITDA flow through on the private label business is around 18% to 20% which was evident in our second quarter results with gross margins over 30% and adjusted EBITDA of $4 million. We continue to see plenty of opportunities develop new SKUs going forward and continue to anticipate adding over 7,000 to 8,000 new SKUs in 2016. We are able to grow at this pace, because the data engines we have built, which identify fast moving SKUs and then source products with high economic returns. Growing private label will continue to be the top priority of our business. As it relates to 2016 guidance for the third quarter and the full-year, we continue to expect low-to-mid-single digit revenue growth. We will also be increasing our full-year guidance on adjusted EBITDA from a range of $11.5 million to $14 million to an increased range of $13 million to $15 million. Turning to our majority ownership in AutoMD, there are currently over 5,000 shops on this service, and AutoMD will begin to charge shops a subscription fee in the quarter. We anticipate the shop comp to decline below 5,000 shops during the quarter, which will require U.S. Auto Parts to invest $2 million in AutoMD increasing U.S. Auto Parts equity to around 68%. So we're excited about the traditional investment as a portion of it will fund a new service and it's been beta launched in Southern California called AutoMD Repair Vale. I will make AutoMD IQ service which requires customers to input the exact job required. Repair Vale is targeting customers who do not know the exact job needed to repair their vehicle. Under this service, the customers schedule a pickup and provide symptoms on what is happening to their vehicle. For example, their breaks are squeaking. The vehicle is then picked up and diagnosed with description and pictures of what is wrong which then is sent to the customer. The customer approves the quote, right from their phone, work is then completed and the vehicle is returned. The customer pays the same amount for the service as if they dropped the vehicle off at the shop itself. AutoMD handles all the billing and keeps a percent of the transaction. While the sample size of customers is so small, the service has been well received as demonstrated in a high net promoter scores and more importantly, high repeat purchase of the service. We are now focused on improving customer conversion by getting customers comfortable that their vehicle is being driven carefully to and from the shop, and the quality of the service on their vehicle will be high. We believe this is a large segment of convenience-driven customers who will find repair valet very appealing to them. In closing, our business continues to perform well. We experienced positive year-over-year traffic growth in the second quarter and that trend is continuing into third quarter. Our private label business continued its strong growth and once again currently comping up double-digits. Gross margin continue to expand above 30%, driven by a higher product mix of private label SKUs. Adjusted EBITDA for the quarter came in at $4 million, up 129% year-over-year and adjusted EBITDA margin increased 290 basis points to 5.2%. Our trailing 12-month adjusted EBITDA is now $13.8 million, up over 92% from this time last year. We have completely eliminated our revolver debt and experienced a $9 million swing in our net cash position over last year. And we are increasing adjusted EBITDA guidance to the range between $13 million to $15 million, up from $11.5 million to $14 million. And with that, I will now open the call for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from Darren Aftahi from ROTH Capital Partners. Please go ahead.
Darren Aftahi: Hey guys, thanks for taking my questions and congrats on the quarter. Couple if I may. So it looks like Ecommerce orders were up 8% excuse me overall orders were 8% in the quarter but your marketing spend I think was roughly flat to down and the customer acquisition cost was down as well. Can you kind of give us some sense for how those trends may kind of persist going forward? Are you just finding a more efficient means to spend on marketing and drive additional orders? Second question, as you go out farther, I mean where do you really see private label several quarters out from here? And then lastly on the cash flow, I know the profile is improving. Is there any thought about reinvesting that cash flow into your private label business, trying to drive faster top-line growth? Thanks.
Shane Evangelist: Yes, thanks, and appreciate the compliments on the quarter. From a marketing spend perspective, extremely enough our team implemented some more efficiency around the measurement of profitability and that ended up driving higher profitable transaction for us, which we saw in EBITDA expansion. But really, it was more about the continued optimization of our marketing spend to ensure that we're spending at variable margin breakeven. And that we're not overspending on any particular keyword or marketing channel itself. And so really, I would be remised about in saying congratulations to the team and the marketers themselves who are spending a lot of time grinding day in and day out making sure that we are superefficient on our marketing spend. That's not to say that the marketing spend as a percent of revenue, won't increase in the future if we see opportunities to drive that. But certainly, we saw some efficiencies in the quarter itself. On private label 65% of revenues in the quarter closer to 70% of transactions, we don't see that mix stopping from a growth perspective. Now, we wouldn't mind if our branded business grew at a faster rate which slowed down the mix shift between the two but at the same time, we're very committed to make sure that our branded business is profitable and as such, we've seen a decline of branded business as much as we've seen an increase in the private label business. It's picked up 2% to 3% kind of every quarter. I anticipate that to go forward and I don't see that stopping for the next couple of years.
Neil Watanabe: We've also projected this year to be about at 65% private label mix for the year. So we believe that numbers going to probably continue in the next couple of quarters.
Shane Evangelist: I'm sorry Darren, the last question?
Darren Aftahi: Sure. I know there was a lot there. With the increased cash flow profile, I mean any thoughts about reinvesting to try and drive faster top-line growth. Are you more focused on just balancing the two in efficient marketing spend? Thanks.
Shane Evangelist: Yes, what I would tell you is we're very disciplined on the cash spend itself to ensure that it's done profitably. So what I would tell you is we wouldn't take the cash we're generating and that we think we're going to continue to generate and reinvest it only for top-line growth. We will certainly do it where we think we are getting profitable growth. That said it appears that our private label engine is working, and is working at a good pace. And so if we can determine ways to invest further in our private label growth, whether that's in resources, at headquarters to identify new SKUs, or sourcing partners, we certainly will do that and we'll continue to and we always look at those opportunities going forward. And I think you'll probably see us continue to invest behind private label as we have every year with more investment in that certainly in headquarters and people identify growth opportunities.
Neil Watanabe: Darren, there is also opportunity in selective SKUs that are fast turning high [ph] generally that we see opportunities to invest selectively, precision and inventory to continue to drive top line growth. So some of that capital and cash we're generating, we are certainly going to not be shy about making sure we put it in the right SKUs to ensure better and stock percentages and continue to get high gross margin dollars.
Operator: Thank you. I'd like to turn the floor back over to management for any closing comments.
Neil Watanabe: I would like to thank everybody for joining the call today. I'd like to note that we'll be presenting at the Canaccord Conference and the Liolios Gateway Conference over the next couple of months and hope to see some of you there. If not, we look forward to speaking with you when we report our third quarter results in November.
Operator: Thank you. This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time.